Operator: Good afternoon, ladies and gentlemen, and welcome to Mitek Systems, Inc. Reports Fiscal First Quarter 2026 financial results. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press 0 for an operator. This call is being recorded on Thursday, February 5, 2026. I would now like to turn the conference over to Ryan Flanagan with ICR. Please go ahead.
Ryan Flanagan: Thank you, operator. Good afternoon, and thank you for joining us today to discuss Mitek Systems, Inc.'s fiscal first quarter 2026 financial results. Joining me today are Chief Executive Officer, Edward H. West, and Chief Financial Officer, David B. Lyle. Please note that today's call will include forward-looking statements. Because these statements are based on the company's current intent, expectations, and projections, they are not guarantees of future performance, and a variety of factors could cause actual results to differ materially. A description of these risks and uncertainties can be found in our 10-Q filing dated 02/05/2026, and our other SEC filings. These forward-looking statements include, but are not limited to, our expectations around customer demand for our products and services, expansion of our Check Fraud Defender or CFD data consortium, the ongoing stability of our check verification business, our growth and investment plans, expected improvements in gross profits and unit economics, improvement to operating leverage and scale, expected free cash flow conversion rates, and our FY '26 financial outlook and guidance. Except as required by law, we do not undertake any obligation to update these forward-looking statements. This call will also include references to non-GAAP adjusted results. Please reference this afternoon's press release and our Investor Relations website for further information regarding forward-looking statements and reconciliations of GAAP to non-GAAP financial measures. With that, I'd like to turn the call over to Edward H. West.
Edward H. West: Thanks, Ryan. Good afternoon, everyone, and thank you for joining us today. For those less familiar with Mitek Systems, Inc., we provide the verification, authentication, and fraud decisioning infrastructure that high-assurance institutions rely on to onboard customers, authenticate users and transactions, and, in essence, to protect what's real across digital interactions. Turning to our results, we delivered a strong fiscal first quarter and are raising our outlook as early execution against our Unify and Grow ethos continues to take hold in fiscal 2026. And with that as context, there are several key takeaways from this past quarter. First, generative AI is accelerating synthetic fraud globally, driving a growing need for our solutions. Second, fraud and identity revenue grew 30% year over year. Third, SaaS revenue grew 21% year over year, representing 43% of last twelve months' revenue. Fourth, check verification continues to be stable with 1.2 billion transactions annually. Fifth, we simplified the balance sheet by paying off our convertible notes and today announced a new $50 million share repurchase program. And finally, our Unify and Grow ethos is taking hold. One Mitek is working. Last quarter, I outlined our Unify and Grow operating ethos for 2026. The key elements of this plan are to fortify and unify our business and invest in key areas to accelerate growth. I'll touch briefly on how we're executing against each of the four pillars that I outlined last quarter. Starting with fortifying check verification. Our check verification portfolio continues to serve as a critical and convenient emphasis infrastructure for our customers. During the quarter, we sustained an annual run rate of approximately 1.2 billion mobile deposit transactions. While last twelve months' revenue remained stable at approximately $91 million. Even though the broader check market continues its gradual secular decline, mobile deposit volumes have remained resilient, reflecting deeper penetration as well as the embedded mission-critical role these workflows play across financial institutions. Check verification renewal activity and expansions were solid and came in at the high end of our expectations for the quarter. Overall, we are encouraged by the outperformance in check verification and its continued role as a durable, cash-generative foundation for the business. The long-standing relationships in this portfolio continue to open doors for broader senior-level fraud and identity conversations with partners and processors that historically engage with Mitek Systems, Inc. primarily through check verification. Now turning to our second pillar, which is unifying and scaling our fraud and identity portfolio, which now represents a majority of the business. As fraud accelerates its march towards being democratized as a result of generative AI, and attackers become more sophisticated, customers are moving away from siloed point-in-time towards more continuous, signal-rich decisioning. In response, we are going to market as one Mitek with unified workflows that combine documents, biometrics, liveness, and data insights into a single platform experience. Our first-quarter results reflect solid progress in executing against that strategy. During the quarter, transaction volumes experienced attractive growth levels as customers responded to the increase in fraud and activity. As fraud becomes more democratized and easier to execute at scale, customers are routing more transactions through our solutions to detect, assess, and mitigate risk in real-time. This reflects two structural dynamics taking hold across our platform. First, customers are running more journeys across more use cases. Existing customers are extending beyond onboarding into authentication and other in-life workflows, while new customers are coming to Mitek Systems, Inc. specifically for those journeys. Because authentication and in-life verification are persistent needs rather than one-time events, they apply across a much broader set of industries than onboarding alone, expanding the relevance of our platform beyond traditional financial services. Second, we're seeing more transactions per journey. As we continue to add additional capabilities, data sources, and third-party checks alongside our proprietary technologies, each journey becomes richer, more secure, and more valuable to the customer. That increased richness drives higher value capture per journey for us as customers rely on Mitek Systems, Inc. for more of the decisioning within a single workflow. Importantly, the momentum we're seeing is broad-based across geographies and customer segments, reflecting platform-led adoption rather than reliance on any single customer product or use case. In North America, performance was driven by large enterprise renewals and targeted expansions, including a new platform entry point at a top-five financial institution with clear expansion potential. In EMEA, we made tangible progress migrating several legacy customers onto MyVIP in Spain, enabling new digital channel use cases in expansion across various industries beyond core banking use cases, including telecommunications, insurance, mobility, and payments. Taken together, these wins reinforce two important themes. First, growth is increasingly being driven by more journeys and more transactions per journey rather than isolated point solutions or pricing changes. Second, MyVIP-led journeys are continuing to deliver higher gross profit per journey as richer, more secure workflows create greater value for our customers and improved economics as the platform scales. Now alongside this momentum, Check Fraud Defender continued to scale as a core component of our broader fraud and identity portfolio. While our identity solutions focus on verifying and reverifying who a customer is across the life cycle, Check Fraud Defender addresses a complementary problem: preventing payment fraud through consortium-based network intelligence. During the quarter, we continued to expand participation across the consortium with new institutions joining and existing participants deepening their engagement. As a result, annualized contract value across Check Fraud Defender now stands at approximately $17 million, up 44% year over year, reflecting continued momentum and growing confidence in the value of the network. Data sets compiled in the consortium now cover in excess of 50% of US checking accounts, including institutions in production and active pilots, representing billions in transactions annually. As coverage expands, detection accuracy and loss prevention outcomes continue to improve, reinforcing the network effects that underpin the model and strengthening the value proposition for all participants. Each transaction contributes behavioral and payment-related signals that enhance the intelligence of the platform over time, allowing risk models to continuously improve as scale increases. We believe this growing data asset will represent a durable competitive advantage that is extremely difficult to replicate through point solutions or isolated on-premise deployments. Taken together, our Check Fraud Defender product continues to scale as intended, expanding coverage, strengthening network effects, and delivering increasingly differentiated fraud prevention outcomes as participants grow. Now progress across fraud and identity would not be possible without deliberate targeted investment, which brings me to our third pillar, which is investing where we believe we can lead and differentiate. Our investments continue to be focused on innovation and strengthening the core of the platform and extending its capabilities in areas that matter most to customers and can create competitive advantages. During the quarter, investments included targeted work to improve platform infrastructure, automation, and model performance, as well as continued expansion of capabilities within MyVIP and our fraud solutions. The objective is to deliver more accurate insights and decisions while improving scalability and operating leverage over time. Equally important, we are investing in the organization itself. During the quarter, we reallocated resources towards higher value initiatives, upgraded key skill sets across product, engineering, and go-to-market, and sharpened accountability to improve execution, speed, and consistency. I feel good about the team's progress, and we all recognize that we must continue to execute to capitalize on the growing opportunity in front of us. I want to turn now to our fourth and final pillar, which is disciplined capital allocation. Execution and investment discipline ultimately show up in how capital is deployed. As we scale the platform and advance, unify, and grow, we are focused on ensuring that operational progress is matched by a strong balance sheet and deliberate capital deployment. At a high level, our approach is simple. We protect financial flexibility, we invest in high ROI organic opportunities aligned with our roadmap, and we return excess capital to shareholders, all with an eye towards maximizing shareholder value. We've also taken deliberate actions to strengthen Flex and simplify the balance sheet, including the retirement of our convertible senior notes. With that behind us, today, we also announced a new $50 million share repurchase authorization. This quarter reflects the operating cadence that we've been building towards, which is disciplined execution, hitting singles and doubles, and compounding progress as data participation and customer engagement reinforce one another across the platform, essentially creating a durable flywheel or network effect grounded in trust, long-standing customer relationships, and improving performance in highly regulated mission-critical environments. As AI lowers the cost of writing code and accelerates the pace and sophistication of fraud, these attributes become more valuable for us. Our customers are not simply buying software features. They are buying real-time risk mitigation and reduction, regulatory confidence, and a trusted intermediary with a long track record in regulated industries across multiple geographies. Mitek Systems, Inc. is uniquely positioned to aggregate signals, govern models, and continuously improve outcomes in ways that a single institution or point solution approach simply cannot. We believe this will lead to a strong competitive differentiation and business durability and ultimately translate into long-term shareholder value. Now with all that as context, I'd like to turn the call over to David B. Lyle to walk through our financial performance for the quarter and review our updated guidance.
David B. Lyle: Thanks, Ed. I'll start with a review of our first-quarter financial performance. I'll then touch on our balance sheet and recent capital allocation actions, particularly in light of the fact that we retired our $155 million convertible senior notes in full, drew $50 million on our term loan, and authorized a new $50 million share repurchase program. Finally, I'll close with our updated outlook. For 2026, total revenue was $44.2 million, up 19% year over year, driven by strength across the portfolio. Led by 30% growth in fraud and identity, 21% growth in fraud and identity SaaS, and overall SaaS growth up 21%. Adjusted EBITDA was $13.3 million, up 9% year over year, representing a margin of 30% driven by revenue scale, mix, and incremental capitalized R&D. Looking at revenue by portfolio, fraud and identity revenue was $25.5 million, up 30% year over year, or $5.9 million. Growth was driven by $3.6 million of SaaS growth led by MyVIP and Check Fraud Defender, reflecting continued transaction volume momentum and broad-based adoption across the portfolio with the balance coming from standalone biometrics licensing primarily from volume overages. Turning to check verification, revenue for the quarter was $18.8 million, up 6% year over year. On an LTM basis, check verification revenue was approximately $91 million, consistent with a year ago, with annual transaction volumes remaining broadly stable at approximately 1.2 billion, reflecting the durability of the franchise. Within the quarter, performance was driven by renewals, strong services activity, and continued conversions from check reader to check intelligence with incremental license activity increasing late in the quarter. Non-GAAP gross margin was 82%, a decline of approximately 280 basis points year over year. The majority of the decline was related to early-stage Check Fraud Defender pilot deployments that incurred costs in the quarter ahead of associated revenue, which we expect to moderate as those pilots convert into full production. We also saw pressure from SaaS and service delivery economics as we supported higher volumes, onboarding activity, and customer implementations. Finally, revenue mix continued to impact margins as SaaS and services continue to represent a higher proportion of revenue. Despite this near-term pressure, underlying unit economics across the platform remain attractive, we continue to see more transactions per journey, and increasing gross profit dollars per journey as adoption scales, which we believe supports operating leverage on these costs as volumes mature. Total non-GAAP operating expense for the quarter was $23.2 million, improving 3% from last year. As revenue scaled, operating expense as a percentage of revenue improved by approximately 1,200 basis points to 52%. This operating leverage reflects a combination of revenue growth, the disciplined redirection of spend toward higher ROI investment, and an increase in capitalized software development consistent with the nature of the work being performed. Sales and marketing expense was $7.9 million, down from $8.7 million last year, with sales and marketing as a percentage of revenue improving by approximately 550 basis points to 18%. This improvement reflects a more focused platform-led go-to-market model where teams are selling the full portfolio in a more unified way across existing customers, partners, and new customer opportunities, allowing us to scale more efficiently while continuing to invest behind growth initiatives. Non-GAAP R&D expense was $7.6 million, up 6% from $7.2 million last year, with R&D as a percentage of revenue declining by approximately 215 basis points to 17%. This reduction as a percentage of revenue is fully explained by a higher proportion of development work that required capitalization in the quarter and reflects continued execution of our Unify and Grow strategy, including the realignment of R&D talent toward platform-level reusable capabilities that support enterprise-scale adoption. Capitalized development remains a low single-digit percentage of revenue, consistent with software peers operating in an investment phase. The full cash impact of these investments is reflected in free cash flow, which remains our key measure of underlying performance. Finally, non-GAAP G&A expense was $7.7 million, down from $8.1 million last year, with G&A as a percentage of revenue improving by approximately 430 basis points to 17%. This improvement reflects continued operating discipline and simplification across core corporate functions we cited last quarter, including more standardized contracting and procurement, increased automation across finance and administrative workflows, tighter vendor management, and continued consolidation of internal systems. Strong fiscal Q1 revenue performance and operating leverage translated into an increase in adjusted EBITDA of 69% year over year, or $13.3 million, representing an adjusted EBITDA margin of 30%, an improvement of roughly 900 basis points versus last year. Non-GAAP income tax expense was approximately 12% of pretax income, resulting in non-GAAP net income of $12.4 million and adjusted EPS of $0.26 per diluted share, representing approximately 80% growth year over year. Overall, first-quarter results reflect continued improvement in earnings quality with revenue growth, operating leverage, and earnings per share scaling together. Free cash flow for the quarter was $6.6 million and $60.5 million on a last twelve months basis, representing 102% conversion of LTM adjusted EBITDA compared to 83% last year. This elevated conversion reflects nonstructural tailwinds that will moderate over time, including interest arbitrage prior to the repayment of our convertible notes, a step-change improvement in working capital efficiency, and temporarily lower cash taxes in 2026 and 2027, following recent tax legislation. Over the longer term, we continue to view free cash flow conversion of approximately 70% to 80% of adjusted EBITDA as a more representative steady-state range consistent with recurring revenue software peers. Our capital allocation priorities remain disciplined and unchanged. We prioritize funding high ROI growth initiatives, maintaining balance sheet resilience, and returning excess capital to shareholders. We ended the quarter with $192 million of cash and investments and approximately $159 million of total debt, resulting in a net cash position of $33 million. Subsequent to quarter end, we retired our $155 million convertible senior notes in full and drew $50 million on our term loan. These actions were neutral to net cash, simplified the balance sheet, and extended our debt maturity profile to 2030. Turning to capital return. During the first quarter, we repurchased approximately $10 million of shares, which left approximately $11 million remaining under the authorization at quarter end. Since quarter end, through February 4, we repurchased an additional $7 million, leaving just over $4 million remaining under the current authorization. Given our confidence in the business and cash generation profile, today, we announced a new two-year $50 million repurchase authorization, which will become effective upon completion of the current program. At current equity levels, we believe disciplined share repurchases represent an attractive use of capital and a compelling opportunity to drive long-term per-share value creation. Turning to our updated fiscal 2026 outlook. We are raising our fiscal 2026 revenue guidance range by $2 million to $187 to $197 million compared to our prior range of $185 million to $195 million. This update reflects two distinct factors. First, we increased the lower end of the implied check verification range by $1 million, reflecting completed renewals and improved visibility into remaining fiscal year activity. Second, we increased the lower end of the fraud and identity range by $1 million and the upper end of the range by nearly $2 million, resulting in a new annual range of $102 million to $107 million. This increase reflects strong first-quarter execution, continued momentum into Q2, and improved visibility into deal timing and customer expansion early in the year. For the second fiscal quarter, we expect revenue to be in the range of $50 million to $55 million. The variability in this range primarily reflects the timing of check verification license renewals, where revenue can shift between quarters based on closing timing rather than changes in demand or execution. Q2 is typically our most active quarter for check verification, and a small number of large renewals can be recognized on a single day, resulting in a wider than usual quarterly guidance range. As visibility improves through the year, we currently expect second-half revenue to be more heavily weighted to fiscal Q3, driven by the timing of check verification license renewals. Turning to profitability. We are updating our fiscal 2026 adjusted EBITDA margin guidance to 29% to 32%, up from our prior range of 27% to 30%. The 200 basis points increase is driven primarily by a higher level of capitalized software development than we assumed when we set guidance in December. Following a complete quarter of execution, we now have greater confidence that a larger portion of our development activity requires capitalization. Importantly, on a cash basis, total R&D spend is higher year over year, reflecting our investment roadmap, and these costs are fully reflected in free cash flow. From a cash flow and modeling perspective, we expect capital expenditures to be approximately 3% of revenue and depreciation and amortization to be approximately 1% of revenue. And reflecting increased capitalization of R&D, and an overall increase in cash R&D investment year over year. We continue to expect gross margins to remain in the low 80% range, with operating expenses stepping up sequentially through the year as we invest behind our growth initiatives. More broadly, these outcomes reflect continued progress under our Unify and Grow ethos as the organization operates more cohesively as one Mitek. Execution across the platform is becoming more consistent. Investments are increasingly aligned to scale capabilities, and that discipline is increasingly showing up in growth margins and free cash flow. With that, operator, we are ready to take questions.
Operator: Thank you so much. Ladies and gentlemen, we'll now begin the question and answer session. Should you have a question, you'll hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the Q. If you are using a speakerphone, please lift a hand before pressing any key. One moment, please, for your first question. Your first question comes from Allen with Maxim Group. Allen, please go.
Allen Klee: Yes. Hi. Good evening. For your broadened identity segment, can you discuss a little the competitive environment and why you think you're winning, and in what cases would you maybe be losing?
Edward H. West: Good afternoon, Allen. Thanks for the question. So the way we see the environment, frankly, through the tight relationships that we have with many institutions around the world, the environment is growing, and the needs are growing driven by AI, generative AI, and the synthetic fraud that's accelerating in, frankly, all applications that we see across the board. That's creating more demand, more need, and I think we're pretty well situated because of our broad platform, the capabilities going back to our heritage as well as the capabilities around biometrics, the liveness, to detect synthetic fraud, deep fake detection, and other risk elements. And we're increasingly combining other data elements in this to make it a data-rich experience and detection and assessment for our customers. I think that's also unique in the market. When you combine it with our heritage with high-assurance businesses like financial institutions, that becomes a smaller and smaller group in the market, so we feel good about the position. And as I mentioned in my talks, the durability of the business by adding more and more data into the business. And the more customers that come in, the richer the environment becomes, and it's that network effect. And it offers richer signals. So again, we look forward to that and continue to build and grow.
Allen Klee: Okay. Great. Thank you very much.
Edward H. West: Thank you, Allen.
Operator: Alright. Your next call comes from Jake. Jake, please go ahead with William.
Jacob Roberge: Hi. This is Jacob Zerbib on for Jake Roberge, and congrats on the solid quarter. I wanted to ask, great to see the check verification business continuing to do well. I guess from a growth perspective, how are you thinking about the pricing lever for growth over the longer term? And then I have one follow-up after that. Thanks.
Edward H. West: So, Lisette, thank you, Jacob. And we were very pleased with the outcome from this past quarter. So I've mentioned in my comments around the renewals. Renewals and expansions coming in at the high end of expectations. You know, the pricing, you know, continues. Orange is a very strong foundation that we have. And relationships with our core partners. We're also having broad discussions around expanding, particularly around fraud and identity. On the market. And bringing in the broader suite of solutions that we can bring forth to help support our partners' growth. Which, you know, we look forward to continuing to deepen those conversations. Overall in the market, as I mentioned, you know, checks continue to decline. But, fortunately, our solution clearly shows the convenience and the mission-critical nature for financial institutions. And, obviously, as a result, the penetration continues to deepen. And we still see stable activity with nominal prices.
Jacob Roberge: Got it. Thanks. And then you talk a lot about the linking between fraud and identity. You called it out over the past couple of calls. Can you talk a little bit about what you're doing from a go-to-market perspective to help drive that value for customers?
Edward H. West: Absolutely. It is, you know, because of the growing need, and it's why it was so important, you know, as we announced this past quarter around our focus, unify and grow. Bringing all of our capabilities and solutions together into a single platform approach, and that also includes our go-to-market team. From a sales standpoint, there were now showing up at customers and prospects as one business bringing forward the full suite, and we see both fraud solutions as well as identity as well as capabilities, deep fake detection, all being offered in an integrated way. And have trained our sales team to talk more broadly against that. And also another important aspect, I believe, is that we've moved way up the stack within our core customers in terms of who we're talking with and meeting with at our end institutions as, you know, head of fraud, head of product, you know, head of the retail bank because of the mission nature of what we're providing. Not only on new customer onboarding, but ongoing customer engagement through authentication, and synthetic fraud detection. So because we're bringing all this together, that has changed. We're also now been bringing in people looking at other markets, other verticals beyond the heritage financial and institutions and financial services. We now have relationships in business. Through other partner channels who are also taking us into other verticals as well, including government. Insurance, telecom, as well as our own hunters on that front as well. So a lot of investment is taken, and we'll continue to invest more because of the demand that we've seen in growing.
Jacob Roberge: Got it. Thank you very much.
Edward H. West: Thank you.
Operator: Your next call comes from Mike with Northland Securities. Mike, please go ahead.
Mike Grondahl: Hey. Thanks, guys. First question, just has there been any expansion of the Salesforce, like, in terms of headcount? Or marketing budget? Just kinda curious on those two after the last question.
Edward H. West: Yeah. I'll start off with some, and then Dave can elaborate as well. Yes. We have expanded headcount. We've gone through a lot of changes, as I mentioned in the last question, in terms of consolidating the people and the training. Bringing on additional hunters and capabilities as we also expand into other markets. We brought in more on the channel partner side as well, expanding to the channel capabilities. As well as STRs and qualification delivering leads and opportunities into the sales team. The marketing dollars, I mean, that can be jumpy from quarter to quarter, you know, up and down. In terms of where we see and where we're investing. I don't know if, Dave, if you wanna talk more about what we see in the changes ahead there.
David B. Lyle: Sure. We talked about in the last call that we would be investing in 2026 both in R&D on a whole bunch of different fronts as well as sales and marketing specifically on GTM, go-to-market. You'll see that across the year, quarter to quarter as we both hire Salesforce talent. But also enforce, and enhance some of the programs that we have out there.
Mike Grondahl: I guess, like, would you say the Salesforce is expanding headcount 5%? Can you quantify it at all?
David B. Lyle: Yeah. We haven't gone to that level of guidance detail, but we're not gonna see, if you're asking, are we gonna see a big spike here to start generating revenue? The answer is no. You know, Ed talked about in his prior comments and prior quarter that, you know, the unification of the Salesforce has created some real synergy and having everybody sell the entire portfolio is really helping. We're already seeing the results of that. In the numbers, and I think that will continue. So we should get some more leverage, revenue leverage out of the existing Salesforce and then putting some more talent on the team will should, be able to accelerate that.
Edward H. West: And, Mike, it's an area where we'll continue to invest in making sure we're bringing in the skills, and talent and we're seeing the demand, continuing to increase. On both the direct as well as the channel side, which is why we're broadening out on both sides. But we've also been able to drive more efficiency through tighter arrangement, offsetting some of that investment.
Mike Grondahl: Got it. Hey. Next, you know, with Check Fraud Defender, it sounded like you guys had maybe started a couple interesting, maybe a couple larger pilots. Any more color you can provide there?
Edward H. West: Yes. We have with the pilots that are underway, as I mentioned, you know, one of the ways to look at that is the datasets that have now been accumulated from all the data coming through. We're now seeing volume and transactions literally in the billions of transactions that are going through on an annualized basis now. Those pilots continue to track. We're very pleased with the progress, pleased with the platform, the progress of the platform, the deepening engagement with our customers, the value that's being returned, and the size of the that are now continuing to seek and potentially participate overall into the consortium. That the more data that comes in and the more partners that come in, the more and more valuable that 50% kinda jumped out at me.
Mike Grondahl: Maybe last year last is there an average life to a pilot? Like, are some of these getting to a point where they gotta convert or, you know, is that next quarter we'll hear that or is that something over the course at 26?
Edward H. West: You know, there's not an average life. Obviously, this is a relatively new solution and continuing to bring in more partners and, you know, we'll keep you, you know, updated as progress ensues. Yeah. So it's we feel good and encouraged about the progress so far. Obviously, we'd like them all to be quicker. But and we'll continue to try to accelerate that.
Mike Grondahl: Sounds good. Thank you.
Edward H. West: Thank you, Mike.
Operator: Alright, ladies and gentlemen, as a reminder, if you have a question, please press 1. Now it's George with Craig Hallum. Please go ahead.
Logan Hennen: Hey, guys. This is Logan on for George. For taking the question, and congrats on another nice quarter here. Ed, when we think about, you know, what is obviously a very rapidly changing kind of environment out there when it comes to AI-driven fraud, synthetic fraud, things of that nature. Are you seeing that creep into sales cycles at all on the fraud and identity side where, you know, maybe FIs are pushing a bit more? There's a bit more urgency to kinda bring you guys in.
Edward H. West: Yeah. Thank you, Logan. Great question. If an institution's been through an attack, yes, we do see that moving, you know, potentially, you know, more quickly on it from a sales cycle standpoint. This is, you know, a comprehensive solution bringing in a lot of different factors can take time. And frankly, what we've seen mostly is a first level of engagement and going off onto a certain part of the business. Let's just say, for example, maybe starts off at an FI in opening up digital checking accounts, then that can broaden into auto loans, broaden into mortgages and credit cards, then moving into various other countries. So that's where we see that engagement continuing to broaden out. And then also into fuller authentication from verification. And continuing to get deeper and then bringing in other signals. And, you know, if there has been an attack or something they've experienced or vulnerability, we do see those times accelerate.
Logan Hennen: And I guess on a similar note, like, you seeing kinda more activity maybe some of your channel partners on that side? Just where there's more engagement from them.
Edward H. West: Yes. There is. I'm bringing additional opportunities, that's where if we look at some of the channel partners who operate outside of financial services, are bringing us coming into as a partner into other verticals. For example, government, or insurance. Verticals, which has been terrific in seeing opportunities and also opportunities around authentication, like, for example, with myPass. On that front, and that's also in multiple countries. And when we talk about with our core partners in financial services, they all recognize, and you've mentioned to me, you know, the number one issue that they're hearing from their customers today is around synthetic fraud. It's one of the top topics out there, which is why, you know, we're there bringing there in full force, to help support both our partners' growth and solutions for their customers.
Logan Hennen: Okay. Got it. I'll leave it there. Thanks for taking the questions.
Edward H. West: Thank you, Logan.
Operator: All right. There are no further questions at this time. I'll turn the call back over to Edward H. West.
Edward H. West: Great. Thank you, operator. And we want to thank you for joining our quarterly progress report today. And speaking for our terrific and enthusiastic employees, we all look forward to the growing opportunity ahead for Mitek Systems, Inc. So thank you very much, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.